Operator: Good day, and thank you for standing by. Welcome to Enlight First Quarter 2024 Earnings Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Yosef Lefkovitz, Vice President and Corporate Finance. 
Yosef Lefkovitz: Thank you, operator. Good morning, everyone, and thank you for joining our first quarter 2024 earnings conference call for Enlight Renewable Energy. Before beginning this call, I would like to draw participants' attention to the following: certain statements made on the call today, including, but not limited to statements regarding business strategy and plans, our project portfolio, market opportunity, utility demand and potential growth, discussions with commercial counterparties and financing sources, pricing trends for materials, progress of company projects, including anticipated timing of related approvals and project completion and anticipated production delays, expected impact from various regulatory developments, completion of development, the potential impact of the current conflict in Israel on our operations and financial condition and company actions designed to mitigate such impact, expected changes in Clenera's leadership and the company's future financial and operational results and guidance, including revenue and adjusted EBITDA are forward-looking statements within the meaning of US Federal Securities law, which reflect management's best judgment based on currently available information.  We reference certain project metrics in this earnings call, and additional information about such metrics can be found in our earnings release. These statements involve risks and uncertainties that may cause actual results to differ from our expectations. Please refer to our 2023 annual report filed with the SEC on March 28, 2023, and other filings for more information on the specific factors that could cause actual results to differ materially from our forward-looking statements. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call.  Additionally, non-IFRS financial measures may be discussed on the call. These non-IFRS measures should be considered in addition to, and not as a substitute for or in isolation from our results prepared in accordance with IFRS. Reconciliations to the most directly comparable IFRS financial measures are available in the earnings release and the earnings presentation for today's call, which are posted on our Investor Relations webpage.  With me this morning are Gilad Yavetz, CEO and Co-founder of Enlight, Nir Yehuda, CFO of Enlight, Jason Ellsworth, CEO and Co-founder of Clenera and Adam Pishl, COO and Co-founder of Clenera. Gilad will provide some opening remarks and will then turn the call over to Jason and Adam for a review of our U.S. activity and then to Nir for a review of our first quarter results. Our executive team will then be available to answer your questions. 
Gilad Yavetz: Thank you, Yosef, and thank you all for joining us today. Enlight is off to a strong start to the year, and we are pleased to present a robust set of financial results for the first quarter. Revenue grew 27% year over year to $90 million, while Adjusted EBITDA grew 28% year over year to $68 million in the quarter. We benefited during the quarter from high production levels across our 1.9 GW operational portfolio, particularly at some of our largest wind farms. Net income was $24 million versus $33 million last year, which benefitted from one-off financing income we recognized post-IPO last year, which Nir will explain in more detail later on. On the back of these results, we are pleased to reaffirm our full year 2024 guidance.  In addition to the strong financial results, we continued to execute on our project portfolio during the quarter. Our projects are proceeding on schedule, including the 579 MW and 1.7 GWh expected to reach COD this year, as well as the 1.1 GW and 2.9 GWh of new projects we expect to start construction this year. Enlight is on the cusp of a major expansion, which will ultimately result in the tripling of the company's generation and storage capacity to 5.1 GW and 5.7 GWh by 2026. We are laser focused on the execution and delivery of our plan.  Let me describe what we are seeing in the United States, where the industry fundamental backdrop is one of the best we have ever seen. First off, demand for electricity is increasing. For most of the past decade, forecasts for long-term annual U.S. load growth stood at approximately 0.5% per year. But this accelerated in 2023, when forecasts for long term demand nearly doubled to 0.9% a year until 2028. This represents an additional 38 GW of peak demand over the next five years. To put that in perspective, that is the equivalent of 75% of California's peak load today. This rapid acceleration in demand has been driven by the re-shoring of manufacturing, EVs and most importantly the installation of data centers which consume an immense quantum of power and there is a strong possibility that this does not capture the true demand picture, which could rise up to 1.5% annual growth until the end of this decade. This also explains why PPA pricing remains high, even as equipment prices have been falling.  Enlight is uniquely positioned for this tight power market environment, with a broad set of projects that are deliverable in the short-to-medium term. These projects include Atrisco, our 364 MW and 1.2 GWh flagship project located in New Mexico, which will see completion of its solar component during the third quarter of this year, while the storage part is on track for COD during the fourth quarter, both as planned. Moreover, Quail Ranch, Roadrunner and Country Acres, the 3 major projects we expect to start construction in the United States in 2024 totaling 810 MW and 2.0 GWh, have completed all critical development milestones, and are on schedule. We will soon initiate major procurement for these projects. Equipment pricing remains beneficial to us, with panel prices around 25 cents. All-in battery prices are now 170 dollars. Both these elements have fallen by 30% to 35% from the start of 2023. All these factors combined contribute to improving unlevered returns on the projects that we are planning to build between now and 2026. These stand at 10.5%, an improvement of 50 bps since last quarter, and with addition of financing, reach mid- to high-teens levels on the levered equity return.  In Europe, while short-term power prices have been unusually low, long-term power prices remain high, reflecting attractive returns for Enlight's operational and development portfolio as we continue to secure important milestones at our near-term projects. We reached financial close for our 94 MW wind farm, Project Pupin in Serbia, arranging a $95 million financing package from EBRD and Erste, the same partners who financed our operational Blacksmith project, which is adjacent to Pupin. Pupin, which has a signed 15-year CFD agreement at 69 Euros per MWh, is now under construction and is expected to reach COD as planned in the second half of 2025.  In addition, we reached financial close on two of our smaller Hungarian projects, recovering $29 million of excess equity invested. The normalization of European energy prices and the prevailing higher cost of capital are sparking a greater flow of attractive later stage project acquisition opportunities across the continent. We are currently evaluating several project acquisitions and we may seek to take advantage of this opportunistic window.  In Israel, we continue to engage with the newly deregulated power sector, enhancing our ability to generate and sell electricity to different segments of our home market. Arad Valley 3, a part of the Israel Solar & Storage cluster, reached COD during the first quarter, as we maintain the rollout of this project cluster through 2024. We also signed PPAs with 2 additional companies for 50 MW of supply, as we further expand our reach into Israel's corporate power market. Finally, we announced the formation of a new subsidiary named Enlight Local, led by one of the top management teams in Israel, which will address the power needs of Israeli municipalities and agricultural customers by building distributed power infrastructure.  Finally, turning to our operational portfolio, electricity generation volumes at most of our wind farms were well above expectations, including at Gecama in Spain, Blacksmith in Serbia and Genesis Wind in Israel. This was partly offset by weaker merchant pricing, especially at Gecama, where low electricity prices were recorded during the quarter. Despite these merchant market conditions, our hedging strategy provided significant downside protection, as we hedged 65% of Gecama's anticipated production at a high price of EUR 100 for 2024.  As we show in the slide deck accompanying this quarter's results, even in an extreme case where merchant prices for the rest of 2024 end up 50% below the internal forecasts we made at the start of the year, our corporate adjusted EBITDA would only drop by 2% from the midpoint of our guidance range. I would like to emphasize that we do not expect lower merchant prices to impact our Financial Outlook for 2024. Moreover, we are also looking to adapt our commercial strategy to current conditions. After the extraordinary returns that we have made at Gecama, where heavy merchant market exposure over the past two years has returned half of the equity we invested in the project, we are now considering options of entering into a long term PPA.  To sum up, this quarter showed strong financial performance, and we continue to be on schedule in meeting our COD and project development goals. Business fundamentals in the US are very supportive for our planned expansion there, with rising power demand and low equipment costs translating into higher PPA pricing and increasing project returns. It is exactly these trends that enable Enlight to achieve its dual goal of delivering higher-than-market growth at higher-than market returns. I'd now like to hand the call over to Jason. 
Jason Ellsworth: Thank you Gilad, Enlight and Clenera are rapidly expanding in the U.S. and we are laser focused on construction and project finance. In total, we plan to be in active construction on more than 1.2 GW of solar and 3.2 GWh of battery during 2024. Our 364 MW and 1.2 GWh Atrisco project in New Mexico is on schedule. We expect to reach COD on the solar in the third quarter. The solar project has already reached mechanical completion and commissioning work is underway. The battery is expected to be complete during the fourth quarter; equipment is almost all on site and work is underway to connect the initial circuits.  Looking beyond Atrisco, we plan to begin construction on Country Acres, Quail Ranch, and Roadrunner in the second half. These projects together total 810 MW of generation and over 2 GWh of energy storage. The 392 MW and 688 MWh Country Acres project in California is expected to begin first. All regulatory and permitting hurdles are clear and construction contracts are nearly complete. Quail Ranch is not far behind. The 128 MW and 400 MWh project in New Mexico is ready to start construction but awaiting PPA regulatory approval. Finally, the 290 MW and 940 MWh Roadrunner project in Arizona is completing its remaining governmental approvals. Before year end, we expect all three of these projects to enter construction. Each is an important part of delivering our 2026 objectives.  Our CO Bar project in Arizona is comprised of 3 busbar PPAs totaling approximately 1.2 GW and 824 MWh and contracted with APS and SRP. The APS queue reform is ongoing and is still on track to support a year-end 2026 COD for the vast majority of the project, with the remainder to follow in early 2027. We continue to engage with APS to advance the interconnection work as quickly as possible. As a reminder, another 3.2 GWh of battery potential is under development at the site but not yet contracted.  Taking a step back, we continue to see strong support for our project fundamentals. PPA pricing remains sticky, in light of the trends Gilad mentioned earlier. Equipment prices have also declined, with cost for both solar panels and batteries falling in the past year. Since the beginning of 2023 both solar module and battery pricing have dropped by approximately 30% to 35%. This has served to offset the increase in financing costs and deliver improved returns.  Turning to supply chain, there is currently renewed concern regarding possible trade sanctions aimed at Asian equipment producers. Clenera uses modules supplied from SE Asia and India that are audited by third parties to ensure compliance with today's UFLPA and AD/CVD rules. Our suppliers have proven ability to work efficiently and successfully through routine customs investigations and deliver on time. If additional sanctions emerge, Clenera has supply contingency plans in place to limit potential sanction impact, including use of U.S. assembled bifacial panels and batteries. On a final note, Adam will lead the company's US commentary next quarter. I'm excited to see the organization grow and develop under his exceptional leadership. I'd now like to turn the call over to Nir for a review of our quarterly results. 
Nir Yehuda: Thank you, Jason. In the first quarter of 2024, the company's revenues increased to $90 million, up from $71 million last year, a growth rate of 27% year over year. Growth was mainly driven by new operational projects compared to last year, while being offset by a decline in revenues caused by much lower electricity prices in Spain relative to the prices observed in the same quarter last year. Since the first quarter of last year, 10 new projects in the US, Hungary, and Israel started selling electricity. The most important of these is Genesis Wind, which contributed $9 million to revenue.  In addition, BjÃ¶rnberget, which barely sold power at the start of 2023, contributed $7 million in this quarter. Gecama generated approximately $20 million in revenues; however, its contribution fell 6% year over year due to much lower Spanish power prices compared to Q1 '23. We sold power in Spain at an overall average price of EUR 65 per MWh this quarter versus EUR 85 per MWh in the same period last year. The decline in pricing was offset by very high production volumes, which were 20% higher than last year, as well as the results of our hedging strategy, which allowed us to sell 52% of Gecama's production at a price of EUR 98 per MWh.  In Israel, 7 of the 12 Solar plus storage cluster units are now in operation contributing $3 million, while none were selling electricity in the same period last year. Finally, the reclassification of financial asset projects in Israel to fixed asset projects boosted revenues by $3 million, though at the same time, we moved the sum from the financial income line.  Fourth quarter net income has declined by 26% to $24 million from $33 million last year due to unusually high finance income in 2023. In the first quarter of last year, we recorded a one-off $12 million benefit caused by the depreciation of the Israeli Shekel on the large amount of cash the company had received following completion of our NASDAQ IPO in February 2023. In addition, we recorded a $2 million non-cash gain in Q1 '24 stemming from the mark-to-market of interest rate hedges and a positive revaluation of foreign exchange-denominated liabilities. Cash flow from operations declined by 36% to $35 million from $55 million last year influenced by working capital. In the first quarter of '24, the company's adjusted EBITDA grew by 28% to $68 million compared to $54 million for the same period in 2023. On the whole adjusted EBITDA growth was driven by the same positive factors which affected our revenue growth.  Looking to our balance sheet, Enlight achieved 2 financial closings for projects in Central Europe. We raised a $95 million loan for the construction of the Pupin wind project in Serbia, and a $42 million financing facility for the construction of the Tapolca solar project in Hungary. We also recycled $29 million of excess capital back to Enlight as a result of this transaction. In addition, Enlight has $325 million of revolving credit facilities at Israeli and international banks as of the balance sheet date, none of which have been drawn. This is $65 million above what we reported in our Q4 '23 results.  Moving to 2024 guidance, given the strong set of results we delivered for the first quarter, we reaffirm our financial outlook for the year, expecting annual revenue between $335 to $360 million, and with adjusted EBITDA between $235 million and $255 million. In addition, 90% of 2024 generation output will be sold at fixed prices either through hedges or PPAs. Our guidance reflects annual growth of 36% and 30% at the midpoint compared to 2023 respectively, demonstrating our accelerated growth path in 2024 and the years ahead. I'll now turn it over to the operator for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Justin Clare with ROTH MKM. 
Justin Clare: Hi, everyone. First off, I just wanted to start on module supply. I was wondering, since the announcement of the latest AD/CVD case that's targeting Southeast Asian countries, can you talk about whether you're seeing any change in the market so far? You mentioned pricing is down to $0.25 a watt. Are you seeing that change? Are you seeing it move higher at this point? And then if tariffs were placed on both cells and modules from Southeast Asia, can you just talk about your ability to access supply and whether you see any potential for disruption to your product time lines? 
Jason Ellsworth: Certainly on our mind, something we've been spending a good amount of time on as we work through details related to supply chain. So specifically, we're seeing the market remain fairly stable in terms of supply and pricing. There is some shuffling going on and certainly, some of that shuffling is an increased emphasis on investment in the U.S. and acceleration on those investments by producers who are looking to increase U.S. content as the demand is there and there's likely need for that in the future. In the meantime, we're seeing a mix in terms of our supply chain that is manageable given the outcomes, especially given our emphasis on non-targeted Southeast Asia supply. That said, we also have a solid set of relationships and work related to supply out of the U.S. that would allow us to size-step eventual issues. With some cost impact, but it's a manageable amount of cost impact, a few pennies of cost impact to us and then to the projects. Of course, the benefit there is additional opportunity related to domestic content and the upside related to domestic content if that shift occurs. So we see this in large part, a neutral topic in the near term and potentially in the longer term, accelerating the shift to domestic supply that will, in fact, benefit the projects. 
Gilad Yavetz: I will add 2 short points to that. First, in general, we still see a positive trend in terms of the panels pricing. So, we see them still going down and then offsetting some of the other elements and it's worth to mention the strategic step we did last year with Waaree, the Indian supplier and the MSA that we have with this supplier that allows us very good responsiveness to the AD/CVD future steps that will be taken. So we have a good source that we believe will be available. 
Justin Clare: Just to follow on that with the domestic content adder, can you talk about the timing potential in which you think you could secure that out on the solar side of the business, but then also for storage projects as well. I am curious what the time frame might be? 
Gilad Yavetz: We are aligning some of our projects in order to get more from the domestic content, especially in projects where the tax equity path will be ITC, then we see a strong benefit for that. For example, Rustic Hills and we believe that for '27, we will be on track to get the adder on that. 
Justin Clare: We've seen obviously a very strong increase in demand for electricity from data centers, wondering if you're looking to participate in RFPs that are being done from data centers and whether or not those might incorporate solar and storage? 
Gilad Yavetz: I think it's a great question. We see a very positive environment for us right now that is being created in the U.S. because of the data center growth that leads to this increase in electricity demand primarily and also opens up a lot of opportunities for us also in the business model. So it's not only participating in PPAs, we are reviewing and exploring other business development and even M&A options that are related to this trend, which we believe that will be long term. 
Jason Ellsworth: In the West, which is obviously power constrained and with big data center builds over the next decade, that is contracted via the utility. So the utility will leave the corporate demand through a PPA direct with the utility. So we won't see it in an RFP with the data center providers directly. We'll see it with increased demand from the utilities and just given the interconnection positions we hold in the West, we think that puts us in a really position to deliver in the near term for those data center clients, which is a huge value to them. 
Operator: Your next question comes from the line of Maheep Mandloi from Mizuho. 
Maheep Mandloi: Just on the module procurement, can you talk about the sourcing. You talked about Waaree being one of the word big ones, are you looking solar cells from them or potentially modules from their potential expansion in the U.S.? Or do you have any other suppliers lined up for that as well? 
Jason Ellsworth: Our relationship with Waaree includes solar cells and Waaree is a producer of solar cells. Their produced solar cells are part of our sourcing plan with them and our contractual relationship. We're continuing to look at the advent and introduction of solar cells in the U.S., and that's a longer-term equation, i.e. 2027 time frame for projects and domestic content that Gilad was referencing. We're targeting that time frame to be careful, though, we're, of course, open to and working on accelerating as much as possible as it relates to other projects and opportunities that might pull us in a little earlier than that, but 2027 is really the reasonable time frame that we're looking at to include U.S. sales. 
Maheep Mandloi: You kind of talked about everything seems the target on track, but curious on your thoughts on how should we think about going forward? Do you expect any bottlenecks over here on a run rate basis, either from EPC constraints or transformer switchgear constraints. For the market, then we're obviously hearing from some of the suppliers that projects are getting pushed out. But just curious, why you're not seeing that right now? And what are your expectations for that going forward? 
Gilad Yavetz: This is a great question. I think that we are very confident right now on the operational track, First on Atrisco, that is a major project for us, and we plan the COD of both the solar side and the battery side before the end of '24, and we are at least on track. I believe that we took a very important operational and procurement decisions that will also support construction on time of the new projects that we are going to build in the U.S. in '24, including decision for transformers that we did and other elements that can be bottlenecked. So we feel quite confident right now on our plans. 
Jason Ellsworth: If I may add to Gilad's point, I think all those projects have signed interconnection agreements, signed PPAs, real estate and for the large part, all their permits. So that gives us a large degree of comfort on the milestones that these projects have achieved that were on plan, if not ahead. 
Maheep Mandloi: Then maybe just one last one on merchant pricing in Spain, the table in the press release is pretty useful to understand the sensitivity. The spot prices in Spain are almost around EUR 30 right now per MWh, almost 50% below your assumption of 68.5% that imply like EBITDA could be 2% below the midpoint for the rest of the year. 
Gilad Yavetz: The current price today may be EUR 30, but if you look at the forwards for the remainder of the year, they're in the 70% range, if not higher. So there's been kind of a short-term decline in power prices, which we've seen in February and mostly in March, which has been driven by strong hydro and a lot of wind and solar resource. The hydro was expected to come off, which is why you see the near-term future is at the 70% range, July, August, September and so on and so forth. So the 30 is maybe today's price, but it's not the expectation of price in the market for the remainder of the year.  I would add to that is that the point we are making in the presentation is our resilience to even a short-term downturn in the spot prices in Spain and the point that we just have shown is that even in a reduction of 50% in the merchant prices, we don't see any impact on the EBITDA. The opposite, what we see is positive results in other projects. So, we do not see any reason why to reduce our guidelines, maybe to the opposite but we will consider that next quarter. On the long term, we see also in Spain, very good forecast and forward for the electricity prices, including PPAs. So, the fact that we get offers right now for 10 years PPA on a high basis provide us a lot of confidence that we can either remain in the merchant profile where we have benefited a lot in the last 2 years, and basically being able to withdraw more than 50% of the equity of the project. We had a very good up in the last 2 years and what we see currently forward for the next 10 years is good levels of prices and also flexibility to sign long-term PPA at high levels that represent higher returns than the original model. So I think that we stand there with very good situation. In Spain, I think this was the goal of showing that table on the filter. 
Operator: Your next question comes from the line of Mark Strouse with JPMorgan. 
Michael Fairbanks: This is Michael Fairbanks on for Mark Strauss. For the U.S. development pipeline, how are you feeling about the availability of tax equity, particularly on the PTC side. We've heard some tightness there. So just wondering, if you're seeing that and to what extent can you use transferability to offset that? 
Gilad Yavetz: I think the profile of our offtake rest of the fundamentals, but primarily offtake of our project in the West is very attractive to tax equity providers because we have long-term busbar PPAs for 20 and in some projects, 30 years with a very solid profile. So as produced, we don't have any exposure to curtailment as opposed to have set of PPAs that you can find in other areas. So this leads to a very strong demand that we are getting for tax equity for the project. So we feel less the bottlenecks right now and I think that this is one of the advantages of the portfolio that we see right now in [indiscernible] and specifically with the project online right now. 
Jason Ellsworth: There's also the optionality that transferability has provided to do the hybrid structures, which is around the tax equity provider syndicating the credits to corporate clients of theirs, which have tax exposure and then retaining the interest for the purposes of monetizing the depreciation. So, there's plenty of demand. It's just a matter of exactly the structure that works best for us. 
Michael Fairbanks: Any update you guys have on the overall ramp-up at the Genesis the wind projects since the last call? 
Gilad Yavetz: It's on plan and even better than planned. We see improved performance of both plants and also we are getting to continuous arrangement with the supplier in the past. So, we feel very good there. 
Operator: [Operator Instructions]. Your next question comes from the line of David Paz with Wolfe Research. 
David Paz: I wanted to just circle back on the PJM portfolio that you touched on it. If you could maybe at a high level talk about your plans in that market, and in particular, all the demand that of course, we're seeing from data centers and so forth. Do you anticipate, as part of your farm-down strategy, I think it was 30% or so on going forward, just one of those kind of portfolios that we should look at, what kind of interest are you seeing and are you particularly looking at breaking it down pieces or that you mentioned on your one of your earlier comments on M&A, just maybe overall, just address your PJM strategy. 
Gilad Yavetz: First, to begin with, we continue to advance the PJM portfolio. It has advanced well. We have more than 5 projects there, but with 5 projects, we are on fast track and with network operate cost of less than $5 million per project, which I think is a fantastic for PJM. I understand that on the fast track, Enlight holds 40% of the project right now that are on the fast track on PJM. I think it is amazing.  Then, to your question, yes, we believe that PJM is a potential for our strategy on the sell down. There are some elements in PJM were, [indiscernible] project is good. Options for doing this kind of equity recycle we mentioned in previous quarter when the project finally completely matures and get to their optimal value, we believe that the high PPA prices in PJM derived by the data centers demand and multiple players that are interested in projects there may create a very high upside for us in this market. 
David Paz: Just on your unlevered return target for your '24 to '26 portfolio, obviously, that was great to see a 50 basis point improvement. How locked in from here, are those returns? Do you anticipate more movement, just with those set of projects on your returns or if you walked in the pricing and so forth that we should probably kind of think of that in a steady state? 
Jason Ellsworth: PPAs are signed for over 90% of that block. So the revenue side, obviously, we feel great degree of confidence. On the cost side, we're naturally going to procurement in a significant way, and on everything, we're going to obviously start building this year. So we're in advanced negotiations on procurement decisions.  For example, on the 3 big projects in the U.S. that we're going to commence construction this year, naturally we have the Atrisco project where procurement is obviously all done and that's locked in. Yes, we feel pretty good. I think the CO Bar, which is obviously a big project, which we hope to make some procurement decisions by the end of this year, early next. 
Operator: That concludes our question-and-answer session and I will now turn the call back over to Yosef for closing remarks. 
Yosef Lefkovitz: Thank you, operator. Thanks, everyone for joining today. We will be at the JPMorgan Energy Conference in New York as well as ROTH Sustainability Conference in London, and we look forward to catching you up there. Thank you. 
Operator: This concludes today's conference call. Thank you for your participation and you may now disconnect.